Operator: Welcome to MasTec's Fourth Quarter and Annual 2020 Earnings Conference Call initially broadcast on Friday, February 26, 2021. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Thanks Kristina and good morning everyone. Welcome to MasTec's fourth quarter 2020 earnings call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call February 26, 2021 and the company does not undertake to update expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing adjusted financial metrics reconciled in yesterday's press releases and supporting schedule. In addition, when -- we may use certain non-GAAP financial measures in this conference call. A reconciliation of the non-GAAP financial measure not reconciling these comments to the most comparable GAAP financial measure can be found in our earnings press release, our 10-K or in our posted PowerPoint presentations located in the Investors and News sections of our website located at mastec.com. With us today, we have Jose Mas, our CEO; and George Pita, our CFO. The format of the call will be open remarks and announcement by Jose followed by a financial review from George. These discussions will be followed by a Q&A session and we expect the call to last about 60 minutes. We had another great quarter and a lot of good things to talk about today. So I'll go ahead and turn it over to Jose. Jose?
Jose Mas: Thanks Marc. Good morning, and welcome to MasTec's 2020 fourth quarter and year-end call. Today I will be reviewing our fourth quarter and full-year results, as well as providing my outlook for 2021 and the markets we serve. I'd like to thank you for joining us today. And I hope in pray that you and your love ones are healthy and state. The safety of our team members has been our top priority. And as I reflect on the unprecedented challenges during 2020, I am incredibly proud of the men and women of MasTec. Our operations have exhibited tremendous resiliency during the pandemic. And as I look forward to 2021 and beyond, I am extremely excited about various significant growth opportunities as we provide critical power, communications and other infrastructure services to our customers. I'd like to congratulate and thank the men and women of MasTec for their fantastic performance. I am honored and privileged to lead such a great group. The men and women of MasTec are committed to the values of safety, environmental stewardship, integrity, honesty and in providing our customers a great quality project at the best value. These traits have been recognized by our customers and it's because of our people's great work that we've been able to deliver these outstanding financial results in the challenging environment and position ourselves for continued growth and success. Now some fourth quarter highlights. Revenue was $1.6 billion for the fourth quarter. Fourth quarter adjusted EBITDA was $262 million, and fourth quarter adjusted EPS was $1.75. For the full year, 2020 revenue was $6.3 billion, 2020 adjusted EBITDA was $810 million, and 2020 full year adjusted earnings per share was $5.11. And finally, cash flow from operations for the year was $937 million a record level. In summary, we had an excellent quarter and another great year. On our third quarter call in October, we talked about our longer-term goals and our future business mix. Considering the impacts of the pandemic on the oil and gas industries, we laid out a path to achieving an annual revenue target of $10 billion with double-digit margins. One of our key highlights of 2020 and was our ability to grow non-oil and gas revenues by almost 12% and non-oil and gas adjusted EBITDA by over 40% despite the pandemic. Our guidance that we provided today reflects continued diversification, as we expect our non-oil and gas business to grow approximately 20% in revenues and approximately 45% in EBITDA in 2021. While we didn't lay out a time line for our $10 billion revenue target in the third quarter, the visibility within our end markets has continued to improve. In just a matter of months since our last call, we believe the size and the scale of growth opportunities has significantly expanded. I believe the recent events in Texas, demonstrates the need for significant investment in both infrastructure and continued power generation diversification. We believe MasTec's diversification with capabilities in transmission grid and substation construction, power distribution maintenance, renewable construction including wind, solar, biofuels and battery storage coupled with our capabilities around gas-fired plant construction with its associated infrastructure uniquely positioned MasTec to benefit from continued and renewed investments in the power grid. These opportunities coupled with the growing investments in communication networks from both large carriers and smaller rural focused operators provide MasTec with significant growth opportunities in 2021 and beyond. In addition to our organic growth opportunities, we are seeing a growing number of potential acquisition targets. Acquisitions over the years have been a source of significant growth for MasTec. While we've been less active over the last few years, we believe the right companies can help us fully capture our current market opportunities. Subsequent to year-end in the first quarter, we closed on two acquisitions. The first company focuses on integrity work and maintenance work related to gas distribution and the second company is a fully integrated infrastructure contractor specializing in transportation projects. I'd like to welcome both companies to the MasTec family. Included in today's 2021 guidance, revenue contribution for these two companies is about $300 million. In addition, we remain active and are focused primarily on clean energy, power grid services, telecommunications and infrastructure companies. Now I'd like to cover some industry specifics. Our communication revenue for the quarter was $569 million. EBITDA margins came in better-than-expected at 11.1% and were up 300 basis points year-over-year. For the year, revenues were $2.5 billion and margins were 10.7%, a 270 basis point improvement over last year. Fourth quarter and second half of the year communication revenues were impacted by a slowdown of our largest two customers in this segment. With the recent 5G spectrum auctions now complete, we expect revenue acceleration throughout 2021. While the first quarter of 2021 will be sequentially similar, we are encouraged by our customers' capital plans discussed this earnings season. A key highlight for us in 2020 was our ability to diversify our customer base within our Communications segment. Comcast became MasTec's third largest customer in 2020 growing over 100% from 2019 and our T-Mobile business also grew significantly in 2020 with sequential growth in the fourth quarter of approximately 60%. We're also very excited with recent developments with rural operators. The rural digital opportunity fund or RDOF which is a follow-up to the Connect America Fund will provide $20 billion of funding over the next 10 years to build and connect gigabit broadband speeds in unserved rural areas. Additionally in October of 2020, the FCC established the 5G fund for rural America which will provide up to $9 billion in funding over the next decade to bring 5G wireless broadband connectivity to rural America. We entered the rural telecom space in 1997 through an acquisition and have been serving this customer base for nearly 25 years. I believe we are entering one of the most exciting periods in the history of telecommunications and that the deployment of 5G wireless technologies and the associated networks is truly a game changer for the consumer, our customers and for MasTec. Moving to our Electrical transmission segment, revenue was $126 million versus $116 million in last year's fourth quarter. Margins decreased year-over-year and were impacted by poor performance on a particular project, which we expect to complete in the first quarter. We have now begun one of the larger projects we had previously been awarded and expect a much better margin profile in 2021. Backlog remained strong and improved both sequentially and year-over-year. We are confident that we can deliver strong revenue growth this year. Scale in this segment is important for us, as we strive to achieve double-digit margins. We believe we are well positioned for 2021 and beyond as the drivers for this segment remain intact, which include aging infrastructure, reliability, renewable integration and system hardening. Moving to our oil and gas pipeline segment, revenue was $600 million. While we had nice sequential revenue growth, revenues were negatively impacted by the delayed start of some of our larger projects. Margins for the quarter were again very strong and positively impacted by the reimbursement of delayed project idle equipment cost. Without associated revenue, these reimbursements had a significant impact on margin. Backlog in this segment is strong and we expect strong double-digit revenue growth in 2021. On our third quarter call, we forecasted a longer-term recurring revenue target of $1.5 million to $2 billion a year, assuming a continued depressed oil and gas market. As a reminder, over the last three years, less than 10% of our revenues have come from oil pipelines with the majority of our business being tied to natural gas. We continue to see strong demand for integrity services, gas distribution and line replacement activity. We are focused on continuing to diversify our revenues in this segment. Moving to our Clean Energy and Infrastructure segment, revenue was $1.5 billion for the full year versus $1 billion in the prior year, a roughly 50% year-over-year increase. More importantly, EBITDA margins for the year were 5.3%, a 140 basis point improvement over last year. The size and scope of the opportunities we are seeing in this segment continues to grow. While the segment has received a lot more attention over the last few quarters, I still think it's an underappreciated part of MasTec's portfolio. With the new administration and a clear focus on clean energy, we have seen a significant increase in planned clean energy investments from both traditional customers as well as oil and gas companies that are trying to improve their carbon footprint. For example, earlier this month, energy transfer announced the creation of an alternative energy group focused on renewable energy projects. As a leading clean energy contractor and partner, MasTec is uniquely positioned to benefit from these investments. I'd also like to highlight the diversification within our clean energy and infrastructure segment. While we got our start and win, today we are capable of meeting any of our customers' demand. While we've seen a significant demand uptick for solar and biofuels, we believe the recent Texas events will create even more demand for reliable baseload generation including gas-fired plants. In the first quarter, unrelated to the events in Texas, we began construction on a gas-fired plant in Alabama that is replacing an existing coal plant. This plant will be among the world's most fuel-efficient and lowest emission natural gas plants. It is important to note that while this plant plans to run on natural gas, the turbine we are installing is capable of eventually burning a mixture of natural gas and green hydrogen, thereby establishing power generation flexibility. This is another market that has tremendous potential for MasTec. While George will cover 2021 guidance in detail, I'd like to highlight that our 2021 guidance reflects strong 24% revenue growth. With all of our segments expected to approach double-digit top line increases when compared to last year. We expect both revenues and EBITDA in 2021 to be at record levels. To recap, we had another great year, while times can be challenging and uncertain, opportunities always arise from these challenges. Our customers are looking for ways to change and improve their business models and are looking for strong partners to help them, in that lies our opportunity. Our greatest strength has been to understand the trends in our industry and our customers' needs. Our ability to provide services whether existing or new has always been a strength. I'm excited for what the future holds for MasTec. I'd like to thank again the men and women of MasTec for their commitment to safety, their hard work and their sacrifices. Keep up the good work. I'll now turn the call over to George for our financial review. George?
George Pita: Thanks, Jose, and good morning everyone. Today I'll briefly cover our fourth quarter and annual 2020 financial results including cash flow, liquidity and capital structure as well as our initial guidance expectation for 2021. As Mark indicated at the beginning of the call, our discussion of financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliation and details of non-GAAP measures can be found in our press release, on our website or in our SEC filings. In summary, while fourth quarter 2020 revenue was slightly below our expectation at $1.63 billion, earnings margin exceeded our expectation with fourth quarter 2020 adjusted EBITDA at $262 million or 16% of revenue, a 370 basis point increase when compared to the fourth quarter of last year. This capped a strong year for MasTec, despite the negative impact of the COVID-19 pandemic with annual 2020 adjusted EBITDA of $810 million and strong adjusted EBITDA margin rate of 12.8%, a 110 basis point improvement over last year. It is worth noting, that 2020 results show significant strength and growth in our non-oil and gas segment results. With 2020 revenue growing approximately $470 million or 12% and, 2020 adjusted EBITDA for these segments increasing $90 million or 43% when compared to 2019. We expect this trend to continue and accelerate in 2021. We ended 2020 with a new record level of cash flow from operations of $937 million this allowed us to reduce our net debt levels during 2020 by $481 million to approximately $880 million which equates to a book leverage ratio of just over one. With this level representing one of the best leverage metrics ever recorded by MasTec. In summary, our capital structure is in an extremely strong position, allowing us to fund any and all worthwhile future growth opportunities. Now I will cover some detail regarding our 2020 segment results and guidance expectations for 2021. Fourth quarter 2020 Communications segment revenue of $568 million decreased 16%, compared to the same period last year. And this level was slightly below our expectation, primarily due to lower activity levels of Verizon One Fiber project activity. Fourth quarter 2020 Communications segment adjusted EBITDA margin rate exceeded our expectation at 11.1% of revenue, a strong 310 basis point improvement compared to the same period last year. Annual 2020 Communications segment revenue was approximately $2.5 billion with an adjusted EBITDA, at $270 million or 10.7% of revenue. Annual 2020 adjusted EBITDA for this segment increased $61 million or 29%. And adjusted EBITDA margin rate grew 270 basis points, when compared to 2019. These increases were achieved despite the impacts of the COVID-19 pandemic which negatively impacted both, top line revenue and operating results. Looking forward to 2021, we expect that annual Communications segment revenue will grow approaching a double-digit range and approximate $2.8 billion with continued 2021 adjusted EBITDA margin rate improvement approximating 75 basis points to 100 basis points over 2020 levels. As Jose indicated in his remarks, the US Telecommunications market is rapidly evolving. Trends include, multiple activities to support 5G development, including upcoming initial deployment of recently auctioned C band spectrum, expanding small cell deployments and necessary fiber backhaul investments. It also includes, expanding fiber to the home deployments to support growing telecommuting and tele-learning initiatives that have accelerated during the COVID-19 pandemic, increasing 5G home deployments and upcoming high-speed Internet expansion into rural communities across the country to the rural digital opportunity fund. We expect these trends will develop and accelerate over the course of 2021. With a slow first quarter, in which, revenue will approximate our fourth quarter 2020 level, followed by increasing levels of year-over-year revenue growth each quarter thereafter. Importantly, this ramping trend provides continued future revenue growth opportunities in 2022, as these trends are expressed over a full year period. Fourth quarter 2020 clean energy and infrastructure or clean energy segment revenue was $345 million, generally in line with our expectation. Annual 2020 clean energy revenue was $1.53 billion, an increase of $492 million or 48% compared to 2019. Fourth quarter 2020 clean energy adjusted EBITDA was $11 million, or 3.2% of revenue and annual 2020 clean energy adjusted EBITDA was $80 million or 5.3% of revenue, generally in line with our expectation. Fourth quarter 2020 adjusted EBITDA rate fell slightly below the annual 2020 rate of 5.3%, primarily due to fixed costs on seasonally lower fourth quarter revenue. At 5.3% of revenue annual, 2020 Clean Energy adjusted EBITDA margin rate increased 140 basis points compared to 2019. Looking forward to 2021, we expect to continue to experience a very active bidding market in the Clean Energy and Infrastructure Space. We anticipate that 2021 Clean Energy revenue will grow in the high 30% range and approach $2.1 billion in 2021, with continued 2021 adjusted EBITDA margin rate improvement of approximately 125 to 150 basis points over 2020 levels. Fourth quarter 2020 oil and gas segment revenue was $600 million, a 30% sequential growth over the third quarter, representing the first 2020 quarterly period in which this segment exhibited revenue growth over 2019, as we initiated project activity on selected large projects that will extend into 2021. That said, fourth quarter revenue was slightly below our expectation, as selected large project activity started later in the quarter due to regulatory delays. Annual 2020 oil and gas segment revenue was approximately $1.8 billion, a decrease of $1.3 billion when compared to 2019, again due to regulatory delays in large project activity, as previously discussed. Fourth quarter 2020 oil and gas adjusted EBITDA was $196 million or 33% of revenue and annual 2020 oil and gas adjusted EBITDA was $511 million, a $123 million decrease when compared to 2019. Looking forward to 2021, we expect increased large project activity, continuing the project activity started in the fourth quarter of 2020. We estimate that annual 2021 oil and gas segment revenue will grow in the 30% range and approach $2.4 billion, with virtually all this activity in backlog as of year-end 2020. Given that a larger portion of 2021 oil and gas project activity is expected to be comprised of lower-margin cost-plus activity. We are moderating our annual 2021 adjusted EBITDA margin rate expectation for this segment to the high teens range. Fourth quarter 2020 electrical transmission segment revenue was $126 million, generally in line with our expectation. And annual 2020 electrical transmission revenue was $506 million, a 22% increase over 2019. Fourth quarter 2020 electrical transmission segment adjusted EBITDA margin rate was below our expectation at 0.6% of revenue, due to inefficiencies and delays on a project that is approximately 85% complete as of year-end 2020. This project also impacted our annual 2020 electrical transmission segment adjusted EBITDA margin rate, which was 2.9% as compared to 7.1% in 2019. Looking forward to 2021, we expect annual 2021 electrical transmission segment will show strong revenue growth, somewhere in the high-teens to low 20% range. With 2021 adjusted EBITDA margin rate improving to the high-single-digits range. We also believe end market trends in this segment will continue to develop and support future growth as clean energy power generation initiatives require significant transmission grid investment coupled with expanding storm and fire hardening grid needs. Now I will discuss a summary of our top 10 largest customers for the annual 2020 period as a percentage of revenue. AT&T revenue derived from wireless and wireline fiber services was approximately 14% and installed to the home services was approximately 4%. On a combined basis, these three separate service offerings totaled approximately 18% of our total revenue. As a reminder, it's important to note that these offerings while falling under one AT&T corporate umbrella are managed and budgeted independently within their organization, giving us diversification within that corporate universe. Comcast, NextEra Energy, Crimean Highway pipeline and energy transfer affiliates were each at 5% of revenue. Verizon, Xcel Energy, Duke Energy, Iberdrola Group and Enbridge were each at 4% of revenue. Individual construction projects comprised 64% of our annual revenue with master service agreements comprising 36% and highlighting that we have a significant portion of our revenue derived on a recurring basis. At year end 2020, our backlog was approximately $7.9 billion, a slight sequential increase compared to $7.7 billion as of the 2020 third quarter and a slight decrease compared to $8 billion as of year end 2019. Lastly, as we've indicated for years, backlog can be lumpy as large contracts burn off each quarter and new large contract awards only come into backlog at a single point in time. Now I will discuss our cash flow, liquidity, working capital usage, and capital investments. For the year ended 2020, we generated a record level $937 million in cash flow from operations and ended the year with net debt of $880 million, which equates to a book leverage ratio of 1.1 times. We ended 2020 with $423 million in cash on hand as well as record liquidity defined as cash plus borrowing availability of approximately $1.6 billion. We are proud that annual 2020 cash flow from operations reached a new record level and that 2020 free cash flow, defined as cash flow from operations less net cash CapEx, once again exceeded adjusted net income. We believe this performance highlights the strength, resilience and consistency of MasTec's cash flow profile. During 2020, we reduced our net debt levels by approximately $481 million while still investing approximately $170 million in share repurchases and strategic investments. We ended 2020 with DSOs at 86 days down four days compared to 90 days last year and generally in line with our expected DSO range in the mid to high-80s. As we begin 2021, our long-term capital structure is extremely solid with low interest rates, no significant near-term maturities and ample liquidity. This combination gives us full flexibility to take advantage of any and all potential growth opportunities to maximize shareholder value. Regarding our spending on equipment, annual 2020 net cash CapEx, defined as cash CapEx net of equipment disposals, was approximately $177 million and we incurred an additional $114 million in equipment purchase under finance leases. We anticipate lower levels of CapEx spending in 2021 at approximately $100 million in net cash CapEx, with an additional $120 million to $140 million to be incurred under finance leases. As we have previously indicated, as our end market operations shift, with non-oil and gas segments becoming a larger portion of our overall revenue, our capital spending profile should reduce as the Oil and gas segment has historically required the largest level of capital investment. Moving on to our initial 2021 guidance. We are projecting annual 2021 revenue of $7.8 billion with adjusted EBITDA of $875 million or 11.2% of revenue and adjusted diluted earnings of $5 per share. As we have previously provided some color as to 2021 segment expectations, I will briefly cover some other guidance expectations as highlighted in our release yesterday. We expect annual 2021 interest expense levels to approximate $58 million with this level including approximately $110 million of first quarter 2021 acquisitions, while excluding any potential additional M&A, strategic investments or share repurchase activity that may occur over the balance of 2021. We expect to maintain a strong cash flow profile in 2021 with free cash flow once again exceeding 2021 adjusted net income despite expected working capital requirements related to our planned 24% revenue growth in 2021. For modeling purposes, our estimate for 2021 share count is 74 million shares. We expect annual 2021 depreciation expense to approximate 4.2% of revenue inclusive of first quarter 2021 M&A activity and capital additions. Included in this expectation is an increased level of 2021 oil and gas segment depreciation expense when compared to 2020 as we are utilizing conservative depreciation life and salvage value estimates on recent capital additions to protect against potential market uncertainties. We expect an annual 2021 other segment equity and earnings from our equity interest in Waha pipeline operations will approximate 2020's level. We expect annual 2021 corporate segment adjusted EBITDA to be a net cost of approximately 1.1% of overall revenue. We expect that net income attributable to non-controlling interest will approximate 2020 levels and cadence. And lastly, we expect that annual 2021 adjusted income tax rate will approximate 25%. Our first quarter 2021 revenue expectation is $1.65 billion with adjusted EBITDA of $172 million or 10.4% of revenue and earnings guidance at $0.80 per adjusted diluted share. First quarter results typically represent our lowest earnings level of the year due to winter weather seasonality and a transition into new customer capital budgets. Notable first quarter 2021 expectations include segment revenue levels expected to generally approximate fourth quarter 2020 levels with first quarter 2021 oil and gas segment revenue expected to significantly grow and approximate $600 million due to expanded cost plus project activity. Our first quarter 2021 expectation also includes expected negative productivity impacts of recent winter weather storm disruptions across Texas and other parts of the country. In terms of some additional color on the expected timing of 2021 consolidated revenue performance, we expect first half 2021 consolidated revenue to grow at a mid-teens growth rate with second half 2021 consolidated revenue growth rate accelerating to the high 20% to low 30% range and our annual 2021 revenue growth expectation is 24% over the prior year. When modeling 2021 revenue, it is worth noting that oil and gas segment revenue after a strong 2021 first quarter will moderate during the 2021 second quarter and revenue during this period is expected to approximate second quarter 2020 levels as select large project activity slows due to spring season road frost bands before then accelerating again in the third quarter once work resumes. Regarding our expected timing of 2021 consolidated adjusted EBITDA margin rate performance, we expect first half 2021 adjusted EBITDA margin rate will be in the high 10% range with second half 2021 adjusted EBIT margin rate in the high 11% range, with our annual adjusted EBITDA guidance at 11.2% of 2021 revenue. This concludes our prepared remarks. We'll now turn it over to the operator for Q&A. Operator?
Operator: [Operator Instructions] We'll go to our first question from Jamie Cook with Credit Suisse.
Jamie Cook: Hi. Good morning and good year in terms of performance. I guess my first question Jose the Oil and Gas business continues to surprise on the upside. You talked about 30% top line growth and margins in the high teens. I guess as you think about Oil and Gas in the context of you're sort of a $10 billion revenue target and the EBITDA forecast you sort of lay out. As you sit here today, can you get to the $10 billion target quicker and does Oil and Gas now become a larger contribution relative to what you would have thought? And then my second question is, understanding you never want to take one quarter and extrapolate. The margins in ET and Clean Energy and Infrastructure were below expectations. Some of the questions, I get from investors is, how comfortable why they like those businesses and they're comfortable with the revenue potential less comfortable with sort of the margin potential of those businesses. So, could you sort of help us understand your confidence level and what needs to happen to get those margins to more comparable I guess to your other segments? Thanks.
Jose Ramon: Sure, good morning, Jamie. So a couple of things. On the Oil and Gas side, we always expected 2021 to be a really good year, because of the projects that we knew we'd be working. We've laid out $1.5 billion to $2 billion recurring revenue number on our Oil and Gas business, which we still think is the right number to think about. We talked about at that number being in the high-teens as we reflect on a $10 billion double-digit business – double-digit EBITDA business. So we haven't really changed our thoughts on that. Quite frankly, if anything, I do think that the environment is significantly better than it was even in the third quarter relative both to what the industry outlook is and from where oil prices sit today, which drive all the other commodity prices to some of the stuff that we saw in Texas. So it may be better. But at this point, we're still of the same mindset that, we're trying to plan our business as to how we get there in a depressed Oil and Gas market, where our revenues are about $1.5 billion to $2 billion. So I don't think you're going to hear us say anything different until something substantially changes. As we talk about margins and I think, it's important, we did grow margins in our non-oil and gas business by 40% in 2020. We're talking about growing them again by 45% in 2021. Our margin expectations for Clean Energy for the year were 5%. We said that, number over and over, again all year long, and we achieved 5.3%. So we're comfortable on where we are in margins in that business. It is a seasonal business, right? It is impacted by weather depending on where we're working. There is no question that the margins in that business will significantly improve. Our main issue in that business has been growth, right? We've grown that business from $300 million three years ago to $1.5 billion in 2020 and we're going to exceed $2 billion in 2021. So we've had margin pressure based on project inefficiencies utilization impacts hiring a lot of people that's getting better. We're seeing job activity at the project level and we're very confident about our ability to ultimately achieve double-digit margins in that business. It's going to take a little bit of time. You can imply from our guidance today that we expect to be around the 7% mark, probably just shy of it for 2021. We think that's a very achievable number. And I think it will prove out. So we're – I mean, we couldn't be more excited about what's happening in that business the opportunity and the level of potential there, the reality is that, if things go our way that business can and should grow significantly more than I think what we've been saying. On the Transmission side, look we probably had a disappointing 2020. There's no question, right? We came out of 2019 at just over 7% margins. We expected to build on that in 2020. We knew we were gearing up from some large projects that we had been awarded. Those products were delayed partly because of COVID and some material issues. One of those projects has now started. We expect the other one to start sometime in 2021. So we feel good about the revenue potential on those projects. So if you look at our 2021 revenue, we're projecting 50% higher revenue than what we had in 2019, and from a margin perspective we're just expecting to get back to 2019 levels. So again I also think that's achievable. We do wish we would have had a better year in 2020. We know exactly what happened and we think we've got that corrected. So I understand the concerns, but I also think that we've laid a pretty clear path that we think is pretty achievable and I think we'll demonstrate it over the next couple of quarters. 
Jamie Cook: Okay. Thank you. I’ll let someone else to ask question.
Jose Mas: Thank you, Jamie.
Jamie Cook: Congrats.
Jose Mas: Thanks.
Operator: We go to our next question from Andy Kaplowitz with Citi.
Andy Kaplowitz: Good morning, guys.
Jose Mas: Hey. Good morning, Andy.
Andy Kaplowitz: So Jose, could you give us a little more color into how you're thinking about communications inflection at this point? You mentioned your larger customers slow down and second half of 2020, but obviously you have a lot of trends that George mentioned in your favor. So can you give us more color into the landscape now in 2021? Does your confidence this year for ramp-up come from just more diversification as you mentioned, or are your customers actually telling you that they will ramp up CapEx significantly in the second half of the year? 
Jose Mas: Yes. Look so we feel a lot better about it than, I think, we have in a long time. I think this is one of the areas where I think we have potential to beat nicely in 2021 quite frankly. When you look at 2020 right there's a lot of good and a lot of bad in it, right? When you look -- and obviously COVID played a huge impact on that, but if you look at Verizon our revenues year-over-year were down about $100 million, if you look at AT&T our revenues were down almost $250 million, right? So that's a $350 million headwind. We were down about $100 million. So we made up $250 million with other customers. And that includes what we talked about the 100% growth at Comcast. We were able to grow T-Mobile in the second half of the year it grew three-fold from the first half of the year. So we had fantastic growth as the year progressed and as they close their merger and as they started those are very positive trends. We grew our Frontier business by 50% year-over-year. We grew our CenturyLink business by 25% year-over-year. So we had a lot of clients where we were able to win market share and grow. The headwind was two of our larger customers. We feel great about our AT&T business and where it's going to be in 2021 compared to where it was in 2020 that makes a huge impact, right? A lot of that has to do with the spectrum auctions and we had built some of this in, right? So we didn't really miss our communication revenue targets versus where we said we'd be but these were the things that impacted our year. So looking into 2021 as that recovers it's going to have a big impact on our business. We're in obviously constant dialogue with them. We're excited about the results of the spectrum auctions for both AT&T and Verizon. We think it's going to meaningfully impact our business with both of them. So yes we actually feel really good about it. 
Andy Kaplowitz: Helpful. And then could you give us a little more color into the acquisitions you closed in the quarter and the environment seeing right now. How difficult is it to get transactions done in some of the hotter areas that you've talked about the Clean Energy transmission, would you expect your acquisition-related activity to continue to ramp 2021? 
Jose Mas: Look we've been talking about it for -- I feel like a few quarters. We had a lot of deals that were kind of in the hopper in 2020 that we weren't able to close until 2021. We've been very active on a number of other deals. And again, I feel it's a good time. I feel there's a lot of complementary companies out there that can really help us achieve what we're trying to achieve. Obviously, we're conscious of the multiples that exist out there and there is a higher expectation of multiples for some companies vis-à-vis where multiples have been trading. So we're managing through that. Again, we're -- we've been talking about being more acquisitive. I mean the acquisitions are going to add approximately $300 million in revenue which is considerable. And I think you could expect MasTec to continue to be active in the M&A front in 2021. 
Andy Kaplowitz: Appreciate it, Jose.
Jose Mas: Thanks, Andy.
Operator: We'll take our next question from Noelle Dilts with Stifel. 
Noelle Dilts: Hi. Good morning.
Jose Mas: Hi.
Noelle Dilts: Good morning. I just wanted to expand on Andy's last question. Historically, when you've looked at acquisitions they've tended to be smaller companies that have growth opportunity, but some sort of capital constraint or other limit on that growth. And then you've structured those with pretty aggressive earn-outs. Any change in how you're thinking about what you view as your sweet spot for M&A or the types of targets that you would pursue in this market? Thanks.
Jose Mas: No. Look no I think that those are definitely targets that we have today. We still think there is a subset of companies out there that have tremendous opportunities in our -- for whatever reason with investment dollars that come into them can significantly change the profile of their businesses. That hasn't changed. I think that is an advantage for MasTec. I think we've done very well in that space. I think we're going to continue to do deals in that space. I think even when you look at the two acquisitions that we closed in the first quarter there's some of that in there right? I think there was an underinvestment in both of those companies. I think both of those companies have tremendous growth opportunities that because of capital constraints they weren't able to execute on them. So it's very similar to what we've typically seen. I think you're going to see us do a number of other deals that fit into that mold in some shape or form right? So we've been flexible. We've done all kinds of different deals. And again we're just seeing an active marketplace out there that we think brings tremendous value to MasTec.
Noelle Dilts: Okay, great. And then second I was hoping you could expand on how you're thinking about the renewable opportunities? There's, obviously, a huge discussion around solar and some expectation that wind will kind of start to fall as we move into 2022 when solar picks up the slack. So two questions there. I guess are you thinking that solar will be the preponderance of your revenues as you move into 2022? And could you also speak to how you're thinking about your competitive differentiation in the market as you kind of shift from wind to solar? And how you stand out from folks trying to get into the industry? Thanks.
Jose Mas: Yeah. So the first thing I'd say is in our wind business, I think years ago we made the decision to really go after programmatic spend right? So if you look at our wind customers today they're generally the larger utilities that have long-term plans in place and we've got relationships where we expect to be working for them over a long period of time on their build-outs that are laid out years in advance. So we feel really good about where our wind business sits and the sustainability of our wind business over a much longer period of time. Irrespective of tax credits right, which will have an impact on the business depending on what the new administration does. So I think on our wind business we're in a great spot. Our solar business is growing rapidly. About 40% of our total growth in our clean energy business this year will be driven by our solar growth. So we're very excited about what's happening there. We've made enormous investments in that business over the last year and half. We think over time our solar business will probably be bigger than our wind business. And we feel the same way about biofuels quite frankly. We're seeing tremendous opportunities there, a lot of the same customers. We think that that also has an opportunity to match the size of our wind business currently. And those are going to be in our mind our three biggest pieces of our clean energy business right? We expect to have a wind, solar and biofuel business. That roughly are in the same revenue range with the balance coming from our infrastructure investments.
Noelle Dilts: Thanks.
Operator: And we'll go to our next question from Steven Fisher with UBS.
Steven Fisher: Great. Thanks. Good morning. I wonder if you could just give us maybe George a little bit more color on that oil and gas depreciation change that you mentioned. It does drive the EBITDA growth somewhat materially. So just kind of a little more explanation there. How long we should expect that depreciation to be elevated? And as a result, should we think of the profits may be for the year and for the company in general being a little more still up but more modestly and maybe this is kind of still a bit of a transition year?
George Pita: Hello. Good morning, Steve. Yeah, a couple of things. I think when you look at our depreciation trends it's really been the last couple of quarters that you've seen a bit of an increase in the trend that started I think in the back half of 2020 relative to our conservatism and our view on some of the lives and salvage values has been in effect and that continues into 2021. So 2021, we expect that expresses over a full year right versus part of the growth. We also indicated that we have some M&A activity. Obviously you're adding operations that adds depreciation with it as well. And I think you're right. Generally speaking I think as you look at both the combination of a reduced capital spend in 2021 coupled with expectation of against a lower or similar decline again in 2022, I would look at a depreciation rate in 2022 that I would expect would decline as a percentage of revenue. And that's what we've been saying right? As you look at our mix of our business, it's pretty clear that oil and gas is our highest depreciation dollar and rate business. And as that becomes a lesser portion of our business, our depreciation rate profile will improve and the overall number should reduce in terms of -- as on a rate basis.
Steven Fisher: Okay. That's helpful. And then maybe just a follow-up on the M&A discussion, I was a little bit surprised by the transportation focused deal. So can you talk about, how that fits into your strategy overall? Is this part of a bigger expansion into transportation construction? Is it more supportive of something else, or was it just sort of a one-off? If you could just talk a little bit more about that. Thanks.
Jose Mas: Yeah. Look, we're -- we've been talking about infrastructure for a long time and really positioning ourselves for what we think is going to be a dramatic increase, in infrastructure spend. We bought a small transportation asset early in 2020 to really get our feet in that business and get a much better understanding of what was happening in that market that acquisition has actually performed really well above our expectations. It was a small deal during 2020. So this new company gives us exposure to a lot of different markets, right? They're basically focused in Texas Arizona and New Mexico. We studied the market a lot. We realized that over the last 45 years, there's only been six years where there's been a year-over-year decline in spending in this marketplace. It was important that they were fully integrated. So they've got a big aggregates business which is important to a lot of the different types of projects that we're actually chasing now. We think there's going to be a lot of work that they can provide internal to MasTec on what they're trying to do. And quite frankly, we're thinking about the future, right? When you think about what's happening around the world, when you think about electric vehicles, in Sweden they just finished the first electrified street. It's a small project. It was only about a two-mile project but it's a street that charges electric vehicles that is driving over them. So we think that technology is coming to the US. And we want to be able to participate in those type of technologies in every, which way or form. We think we're obviously exposed to that through our energy business, but we think there's going to be new technologies that are going to give us the ability to participate on the infrastructure side as well. So it's a market that we're very bullish in.
Steven Fisher: Okay. Thanks very much.
Jose Mas: Thank you.
Operator: We go to our next question from Andy Whitmann with Baird.
Andy Whitmann: Great. And thanks for taking my questions. George, I thought it would be worth digging into the cash flow a little bit here. And I was hoping you could talk about the drivers in the fourth quarter. Obviously, the year was great in the fourth quarter was good too. I was just wondering, some of this is receivables were there like big retainages on jobs that completed the paid out? Were there any claims collections? Anything that was kind of chunkier and unusual besides obviously the Cares Act, if you could quantify that for the year that would be helpful as well. But just trying to understand the nature of what drove the strong cash flow continuing on a very strong year? And if you could comment obviously you give the CapEx budget for next year. But if you could just talk about any puts and takes that you might have in 2021 that would be helpful as well.
George Pita: Sure. There's nothing unusual or non-recurring regarding our 2020 cash flow performance. I guess I'd dig a little bit of an exception. Obviously, we along with everyone else we referred I think it's about $60 million of payroll tax amounts that will be payable in 2021, 2022. That's just from the Cares Act. And that's something that everyone's done. So that's the one thing that I'd say outside of the norm. If you look at our DSOs at the end of the year they were 86 days compared to 90. That's again generally in the neighborhood of where we are. Our days payable at the end of the year is about right. So there's nothing extraordinary about it. I mean obviously we were helped by lower revenue levels. So as I think in 2021, I think our cash flow profile stays very strong. I think our will the free cash flow once again certainly exceed adjusted net income. But I also anticipate that we'll use some working capital because if we're going to grow 24%. And we're going to grow from $6.3 billion to $7.8 billion there's obviously going to be some working capital associated with that. I think it's a good use of working capital if you will, right? But there's nothing extraordinary about the performance in 2020 or in the fourth quarter related to cash. It was something that really, if you look at the metrics in our working capital they're pretty much within our normal kind of confines. And it's a good -- if you look at it, and it's the third year in a row that we have record cash flow from operations, right? And if you look at our metrics the metrics are always kind of consistently in those same -- the working capital metrics related to DSOs and DPOs are -- they're not really moving around a ton. It's just it's kind of an indicator of the ability that we have to be able to manage our cash flow. We're fortunate in that as a business right just due to the nature of our projects. And a lot of things that we do on a recurring basis, we tend to generate a lot of cash. And we've talked about before in the past that our -- from our perspective we're always generating some level of excess cash on an annual basis somewhere in the neighborhood of $200 million to $400 million and our charge each year is to kind of figure out how to invest that money, right. Whether it be through M&A, share repurchase or other strategic investments and that's what we've done. I did note that in 2020, the debt reduction that we did, we did incur outside of CapEx. We incurred $170 million of a combination of share repurchase M&A and strategic investments. So that's kind of again our – the usage of that excess cash that we do on an annual basis. And I would expect that we'll do something similar. We already started in 2021 with $100-plus million of acquisitions during the first quarter. But we'll certainly make more investments in 2021 that we think will help maximize shareholder value.
Andy Wittmann: That's great. Thank you for that detail, George. My only other question is just a quick one. Last quarter you had in the oil and gas segment, you kind of called out kind of the delta between what was in the quarter for a unique circumstance here you had the idle equipment you called out but you didn't quantify. I was wondering if you could take a stab at that for us?
Jose Mas: Yes. Look, I think we actually called it out in the third quarter as well. It's really the same thing as Q3, right? Our EBITDA dollars didn't change much. Our revenue was a lot lower than what we expected, right? So when you get to equipment reimbursement, you got to add back the depreciation which makes the margin obviously increase without the associated revenue. So if you look at our fourth quarter miss on revenues internally, it really came from oil and gas, right? At the low end of our guidance we missed by about $75 million. We were about $80 million short in our oil and gas business from a revenue perspective. So that's really where the margin driver is. As we had that $80 million of revenue margins, the EBITDA dollars wouldn't have been much different. And thus the margin would have been a lot lower.
Andy Wittmann: Helpful. Thanks, guys.
Operator: We'll take our next question from Adam Thalhimer with Thompson Davis.
Adam Thalhimer: Yes. Perfect pronunciation. One for Jose, one for George. Has the – what's the outlook for Verizon One fiber this year? 
Jose Mas: Look, it's a program that I think slowed, right? I think when you look at the backlog drop that we have from Q4 of 2019 to Q4 of 2020 a lot of that has to do with the one fiber work. I think we had an expectation that revenues would be substantially higher. If you look at our Verizon revenues in 2020, they were down about $100 million from 2019. I think the program is actually going to extend far beyond what we originally thought. So I think revenues might be a little bit lower. I think 2021 revenues will be similar to but it's a program that's probably going to last a lot longer, right? So maybe not at the same pace and rate that we were seeing in late 2019. But I think it will extend for a longer period of time. Obviously, they've gone from their first phase to their second phase, which we've talked about in the past. And I think from a profitability perspective that's something really good because that first phase was challenging I think for all the contractors. So look, I think that based on everything that's happened in the industry, there's been shifts, right? When you think about the spectrum auctions and how all the carriers are building out their 5G plans. During 2020 some of those initiatives and some of those forecasts changed. It was important to get these spectrum auctions behind this because I think it's going to be a huge catalyst to the business in the second half of 2021 for both of the big winners which are Verizon and AT&T.
Adam Thalhimer: Okay. And then George, can you walk me through again the quarterly cadence in oil and gas? Did you say Q2 revenue flat year-over-year and then it ramps in the back half?
George Pita: Yes. What we talked about obviously, for the year we talked about approaching 30% growth, right? And when you look at the cadence of that mix, in the first half, we talked about approaching $600 million in the first quarter, which when you compare it to last year first quarter is a much bigger number and that's because we're going to be – we're initiating and working on more large project activity now in the first quarter than we did last year. The point I was making was that as you look at the second quarter of the year, that growth rate it will decline because on that large project, we're going to break for spring road frost bands. So we're going to stop and break the project. So the second quarter of 2021 won't have the same trend where it's significantly higher than last year. It will be more approaching last year's level. And then the second half of the year will be continued additional growth patterns. So there's a little bit of a mix in the year-over-year changes of the projects because of the timing and the activity that we're having in 2021.
Adam Thalhimer: Okay. Thanks.
Operator: We go to our next question from Brent Thielman with D.A. Davidson. 
Brent Thielman: Great. Thanks. Hey Jose, on the transmission business some good tailwinds really behind that area and it looks like you're going to grow that business a lot in 2021. As you get kind of $600 plus million in that business, do you need to start looking at deals beyond that to keep the pace? Can you keep growing that organically? 
Jose Mas: We think we can keep growing inorganically. There's actually a number of awards that were in the middle of from a negotiation perspective which we think could help us maintain or grow those levels beyond 2021 in a pretty sizable way. So we're -- again we're excited. We've talked about our ability to reach $1 billion in that business. We think that's achievable organically based on the activities that we see and the awards that we expect to get right? So for us 2021 is about not only hitting those revenue targets, but more importantly getting back to the margin levels that we enjoyed and at least the margin levels that we enjoyed in 2019. So that's -- so it's a dual focus for sure. 
Brent Thielman: Okay. And then I caught some comments in the opening remarks about sort of hydrogen battery storage. Can you talk about how MasTec is positioned within some of these areas and what that might mean for the business over the next few years? 
Jose Mas: Look this fast plant that we're building it's a really important project for us. It's a Mitsubishi engine that's really going to be in our minds the engine of choice for those that are deploying hydrogen projects. We're going to be one of very few contractors that's installed these. We think that gives us a huge competitive position on future projects. So we think we're early in the game. We think it's going to be a huge market and a big driver to our business. So it's something that we're very excited about. 
Brent Thielman: Okay. Thank you.
Operator: Our next question from Alex Rygiel with B. Riley Securities. 
Unidentified Analyst: This is Min for Alex. Just a couple of quick questions. Jose in terms of the rural digital opportunity fund winners and there are obviously several new names on that list. Just wondering does that provide more opportunity for you, or is just the overall ARTF opportunity what you're excited about? 
Jose Mas: No I think the winners provide unique opportunities to MasTec. And I think the technologies actually provide unique opportunities to MasTec. So one of the things that we saw in those original awards there was a lot of fixed wireless type awards that generally wouldn't be considered -- historically we've seen a lot of fiber awards, right? So these fixed wireless projects require both an installation at a sell-side along with some form of antenna at the home. When you think about what we do in the wireless sector and what we do on the fulfillment side, when the people's houses and installing a DIRECTV dish it's actually a very similar initiative that would happen in a 5G Home product. So we think again it's a really good opportunity for us on a cross disciplined basis on the things that we think we're really good at. So based on the technology and the overall dollars again we think it's a good place for us. 
Unidentified Analyst: Great. That definitely makes sense. And then obviously the news that AT&T is spinning off its DIRECTV business, does that impact you at all? Does that provide more opportunities long term? Just curious how that relationship will go moving forward? 
Jose Mas: Look we're excited about it. We think that there needs to be a focus on the video product. Obviously they've been losing a lot of customers. I think that they've obviously had their attention and been spending their dollars elsewhere. So to have a company that's fully committed on sustaining their customer accounts and hopefully over time growing their customer accounts, it can only be a positive for us. I think they've already come out and said that they want to stem the losses from a subscriber basis. That's fantastic for us.  So we're encouraged by it. We think over time that will create more opportunities. We were already excited coming into 2021 because we think it's going to be the first year we don't have significant declines in the business on a year-over-year period like we've had the last few years. So that coupled with this change I think is going to be a very positive from our side. 
Q – Unidentified Analyst: Great. Thank you. Good luck in 2021.
Jose Mas : Thank you.
Operator: We'll take our last question from Sean Eastman with KeyBanc Capital Markets. 
Sean Eastman : Hi, Team. Congrats on the strong finish. 
Jose Mas : Thank you. 
Sean Eastman : I just wanted to go back to the Comm segment. Just as we look at the cadence of revenue over the next 12 to 18 months kind of timeframe. Just curious if you could comment on the wireless versus wireline trajectory there? That would be a helpful discussion. 
Jose Mas : Yes. Look so I think that obviously the wireline is right now is a hot market. I think it's going to continue to grow very sustainably throughout 2021. I think the wireless market growth will be more back-end loaded just based on the spectrum auctions right? So today our business is -- it's probably just a little bit bigger on the wireline side than it is on the wireless side. I think we've done a good job at really following the market and changing that mix.  I think we're going to benefit from both. I think shorter term over the next couple of years, fiber will probably be a really big growth opportunity for us. And the wireless will be right behind it. So I think over time our wireless exposure is fantastic because I think that that business is going to grow tremendously in the coming years both from a deployment perspective and then ultimately from a maintenance perspective. So again, we think we're really well positioned on both sides of that market and are going to benefit from both. 
Sean Eastman : Okay. That's helpful. And I might have missed this, but just in terms of -- congrats on getting two acquisitions done in the first quarter. I think I heard there's $300 million in revenue coming from those. But did you guys give sort of the EBITDA and EPS contribution in the guidance? And I would think there's a little bit of bottom line juice into the out-year as some of the intangible amortization rolls off. So if there's a comment there that would be helpful as well. 
Jose Mas : Yes. Look again, they were good businesses. Purchase price we disclosed at about 110, businesses are doing about $300 million in revenue expected for 2021. They're roughly at about 10% of EBITDA margin and they'll be about $0.10 accretive in that range. 
Sean Eastman : Okay. Very helpful. Again, nice work this year, guys. Thanks very much.
Jose Mas : Thank you.
Operator: That concludes today's question-and-answer session. I'll now turn the call back to Jose Mas for any additional or closing remarks. 
Jose Mas : Sure. Again, I'd like to thank everybody for participating. We look forward to updating you on our first quarter call. We hope everyone stays safe. Thank you. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.